Operator: Good morning. My name is Onus [ph], and I will be your conference operator today. At this time, I would like to welcome everyone to Fiera Capital's Earnings Call to discuss Financial Results for the Fourth Quarter and 2021 Fiscal Year. All lines have been placed on mute to prevent any background noise. After the speaker's prepared remarks, there will be question-and-answer period. As a reminder, this conference call is being recorded. [Operator instructions] I will now turn over the conference to Ms. Marie-France Guay, Senior Vice President, Treasury Investor Relations. Ms. Guay, you may begin your conference.
Marie-France Guay: Good morning, everyone. Welcome to the Fiera Capital conference call to discuss our financial results for the fourth quarter and 2021 fiscal year. Before we begin, I invite you to download a copy of today's presentation, which can be found in the Investor Relations section of our website at ir.fieracapital.com. Note that today's call will be held in English. Also note that comments made on today's call, including replies to certain questions, may deal with forward-looking statements, which are subject to risks and uncertainties that may cause actual results to differ from expectations. I would ask you to take a moment to read the forward-looking statements on Page 2 of the presentation. Turning to Page 3, our speakers today are Mr. Jean-Philippe Lemay, Global President and Chief Executive Officer; and Mr. Lucas Pontillo, Executive Vice President and Global Chief Financial Officer. On Slide 4, I will provide the agenda for today's call. We will begin by a discussion on AUM and flows, followed by an update on distribution and [indiscernible]. We'll then review our financial performance. Following our prepared remarks, we will take your questions. With that, I will now turn the call over to Jean-Philippe.
Jean-Philippe Lemay: Thank you, Marie-France. Good morning, everyone, and thank you for joining us. I am on Slide five. Assets under management reached $188.3 billion as of December 31 increasing by $7.5 billion during the fourth quarter and $6.4 billion over the year. Excluding the impact of strategic dispositions made this year, yearend AUM, would've been up $17.6 billion or 10.3% compared to December 31, 2020. Our end enhanced efforts and focus on distribution activities has generated significant growth sales for the year 2021. Fundraising results at 19.4% in our private markets platform and 3.9% in our public market platform contributing significantly to future organic revenue growth across geographies and channels. I'm pleased to report that our investment performance across our platforms remain strong throughout the year, exhibiting resiliency and consistency of style and generated outstanding performance for some key high conviction strategies. This backdrop translated into enhanced financial performance for both Q4 2021 and the full year 2021 as we achieved strong adjusted EBITDA adjusted EBITDA margin and adjusted EPS, primarily as a result of performance fees generated in Q4. Generated adjusted EBITDA of $92.1 million in Q4 2021 corresponding to our margin of 38.1%. Adjusted EBITDA for the year was $24.7 million driving our 12 month margin to 33% and we generated adjusted EPS of $0.66 during the fourth order translating into $1.78 for the full year of 2021. We are very pleased with these results, which demonstrate the progress we are making on our strategic direction. I am now moving on to Slide six, the $7.5 billion increase in our AUM in Q4 was mainly driven by favorable market, as well as most of our investment strategies generating above benchmark investment returns. Furthermore, we won $1.9 billion of new mandates. These increases were partly offset by negative net contributions from clients of $1.6 billion and $2 billion in lost mandates. A significant portion of these outflows were tied to market conditions, which I will address later on. For 2021, AUM increased by $6.4 million or 3.5% and this, despite the unfavorable $10.2 billion AUM impact from the strategic sale of Bel Air and the rights to manage the Fiera Capital emerging markets fund, which were partly offset by the acquisition of a second global equity team Atlas. Excluding the impact of strategic dispositions, opening AUM, would've been $170.7 million, and the corresponding 12 month increase would've been 17.6 billion or 10.3%. The increase for the year similar to the fourth quarter was primarily driven by market appreciation and strong alpha generated by our investment teams as well as new mandates won across all our distribution channels. On Slide seven, I will provide additional color on our 2021 flows by distribution channels and investment platforms, AUM by distribution channel when adjusting beginning of AUM for our 2021 divestitures increased in each of across channels and geographies. In Institutional, we ended the year with $95.6 million in AUN. We grew assets by $6.2 million or 7% during the year with market and alpha generation contributing significantly. While organic AUM growth was roughly neutral during the first nine months of the year, Q4 was affected by $1.6 billion of lost institutional mandates and global equity strategies and financial intermediaries excluding disposition, AUM would've increased $9.6 million or 14.3% to reach $77.9 million as a December 31, 2021. The increase was primarily driven by a market performance, the addition of $0.9 billion of AUM related to Atlas and organic growth of $300 million. In Private Wealth, when adjusting for the sale of Bel Air and a figured AUM of $14.8 billion represents an increase of $1.7 billion or 12.6% during the year as a result of favorable market impact and organic growth. With regards to our investment platforms, in private markets, we AUM by $2.5 billion or 18.7% during the year capping the year with close to $16 million in assets. The increase was mainly driven by organic growth with the platform raising $2.6 billion in new subscriptions during the year and this across all the private markets categories that we offer real estate, private debt, infrastructure, agriculture and private equity. Our public market's investment platform increased by $3.9 million or 2.2% over the course of 2021 driven my market appreciation as well as our team's ability to generate alpha across both fixed income and equity investment strategies. And when excluding dispositions, the corresponding AUM increase year over year will be $15.1 million or 9.6% driven by positive market impact and the onboarding of the Atlas team. On Slide eight, we've illustrated what the organic AUM flows for the quarter and the year translate into in terms of projected annualized base management fees for the business. As you can see, it's not all about AUM. It's about where the flows are generated and invested, notwithstanding unfavorable flows of $1.3 billion in 2021, we still expect to generate an incremental $7.4 million of base management fees from these net flows or over the next year as a result of continued enhancements to our distribution organization. The impact our asset class mix has on revenues is even more apparent when comparing our investment platforms. The $1.7 million of positive organic growth in private markets is more than compensating for the outflows in public markets. What's more, not only do private markets, investment strategies, yield higher margin on base management fees, they also generate transaction and commitment fees from committed unemployed capital, as well as performance fees following as deployed methods successfully. Moving on to Slide nine for a review of our distribution channels, starting with Institutional. Growth sales were strong in 2021 for Canada and this across both our public and private markets investment platforms. This was partly offset by rebalancing due to significant market and relative performance. Overall, the Canadian institutional channel delivered significant net organic revenue growth for 2021, a reflection of the power of our diversified business model. In the us, our improved distribution model is setting the stage for faster enterprise-wide growth, rebalancings and equity as a result of significant market and relative performance, we're experience in this region as well and in Europe and Asia, we are experiencing positive trends across both public and private markets investment strategies, and are pleased with the progress being made. Organic net flows were negative during the fourth quarter, mainly as a result of lost global equity mandate I highlighted over before. Notwithstanding we had the solid quarter with strong client support for the StonePine followed by the agreement. Notably, one client almost doubled their investment during the fourth quarter, adding close to $400 million to their existing position of $600 million following the announcement and in January adding another $400 million. A UK pension plan client increased the exposure to StonePine followed by the global equity as well. Also in Europe, we added [ph] first with two European insurance clients investing in our infrastructure equity fund and we are optimistic that this will open doors to the insurance market in that region. We've had great traction and distribution channel over the last two years as evidenced by the consistent quarterly growth of our base management fees across both public and private markets investment strategies. Quarterly based management fees have increased by accumulative rate of 37% over the last two years and reached $85 million in Q4. Turning to financial intermediaries on Page 10, in Canada, we had strong results in this channel across both public and private markets an indication of the progress made in evolving our investor interaction model. In the US, we realized sales of public equity capabilities while continuing to expand our sales team in the sales advisory space. And in Eurasia, we are seeing momentum and interest for the Atlas team strategy and continue to grow the emerging and frontier markets franchise. Furthermore, we have been successful with our private markets offering notably with infrastructure and real estate sales to some of Europe's leading investors. We generated positive organic growth during the fourth quarter and also for the year. Quarterly base management fees in this channel continue to trend upward. We generated $55.3 million in fees in Q4 2021 and $11.4 million increase or 26% increase compared to Q1 of 2020. In private wealth on Slide 11, we won new advisory mandates in Canada, leveraging our diversified investment platform, as well as our strategic and tactical asset allocation capabilities, generating significant net organic revenue growth. Today, allocation to profit markets investment strategies in this distribution channel exceeds $2 billion in AUM, which is contributing materially to revenue generation. In the US, we won $600 million of gross new mandates and fixed income during the year and although net organic growth was slightly negative this quarter, $600 million of organic growth was achieved for the year and we expect these flows to contribute positively to base management fees directly as a result of the growing allocation to private markets in this channel. Moving on to Slide 12, compared to September 30 AUM of $15 million, private markets AUM on December 31 of $1515.9 million was $0.9 million higher or 6%. We raised $1 million in new subscriptions in Q4 and deployed $0.9 million into new portfolio investments. Over the 12 month period ended December 31, 2021, these metrics are even more impressive. We raised $2.6 million in new subscriptions deployed $2.9 billion into assets globally and ended the year air with $1.6 million of committed capital still to be deployed. Our ability to deploy almost $3 billion of capital in one year into high quality assets across multiple geographies speaks to the expertise of our teams. In just three years, we have nearly doubled the size of this investment platform. The $7.7 billion increase from $8.2 billion in December of 2018 represents growth of 94% for a CAGR of almost 25% for the period and revenues have increased even more significantly whereas in 2018, we generated $70 million in revenues from our private markets business. In 2021, we realized $175.2 million of revenues, a $105 million or 150% increase from three years ago. This is not only a reflection of the growth of the asset base, but also of the scaling of diversified revenues streams that come with it, transaction, commitment and performance fees. Consequently, the three year CAGR on private markets, revenues is close to 36%. Not only does this investment platform enable us to achieve better investment outcomes for our clients, it diversifies and grows our revenue streams. What's more, like amending higher average fees than asset management industry average, our private markets platform will also act as a revenue and margin growth accelerator in the years to come as we continue to expand our platform globally, supported by our talent and teams. Turning to Slide 13 for a review of investment performance of select private market strategies where performance remains strong across all key strategies during the fourth quarter and deal activity remained high. The Canadian and the UK real estate strategies continue to deliver a robust performance in Q4 2021. The portfolios span the full risk return spectrum and continue to be well positioned to capture the strengthening market tailwinds heading into 2022. The portfolios are also seeing positive contributions from the retail and office sectors as stability returns to these markets. Furthermore, real estate is experiencing exceptional performance as a result of low interest rates and an investor demands shifting towards assets that provide protection against inflation. Notably the Fiera real estate small cap industrial fund generated a $7.7 billion return during the fourth quarter and 15.1% since inception. And lastly, in real estate, we ranked within IPE's top 150 real estate investment managers for the second year running. On the private debt side, most of our strategies generated robust returns for the quarter. While Q4 was marked by continued inflationary challenges, this was countered by a still low interest rate environment, sustained consumer demand and a renewed commitment from both the private and public sectors to aid borrowers navigate the uncertainty of the pandemic. Our private debt strategies are well positioned for a rising interest environment as they are mainly invested in short term and floating or floating rate loans and remain focused on building a portfolio of private debt instruments with defense of characteristics or a downside protection has been the leading investment criterion. In infrastructure, I'm extremely pleased to share that Alina Osorio, President of Fiera Infrastructure has been named Outstanding Individual of the Year America by the IG Investor Awards 2021. She has been honored for exceptional performance, overseeing our infrastructure platform platform's impressive growth in the mid-market space. Since joining forces with Fiera Capital to form Fiera Infrastructure in 2016, our leadership and expertise have contributed to the asset classes tenfold growth with asset under management increasing from $225 million to $3.4 billion. It then comes as no surprise that Fiera Infrastructure was shortlisted for Global Midmarket Manager of the Year, at Infrastructure Investor Awards nomination that recognizes our landmark year of fundraising and capital deployment across new and existing platforms. The team continued to be active on the investment fund during the fourth quarter with three acquisitions announced and the EagleCrest Infrastructure strategy continues to perform well having generated IRR since inception of 8.9%. Consistent with its strong performance during the first nine months of the year, our global agriculture strategy capper the year with sustained performance through Q4 driven by solid performance from our Australian row cropping assets. In December the fund close on its eighth platform, a Spanish tree food company that represents a new geographic exposure for the portfolio and adds a new commodity to the funds mix. 2020 was a banner year for our global private equity fund. The portfolio grew from five investments to 12 and to over a hundred underlying companies, diversified across sectors and geographies following encouraging fundraising results predominantly in the intermediary channel. The fund generated a one year absolute turn of 25.4% and has generated a 22.2% return since inception. We are very pleased with our robust investment performance and dedication to responsible investing exhibited by teams over the course of the quarter and the year. Turning now to public markets on Slide 14, while we track our investment performance on a quarterly and an even monthly basis, our longer term performance is critical to us because this is what matters to our clients. Our consistency and ability to deliver above benchmark returns to active investment management is noteworthy across our fixed income and equity assets. In fixed income, when looking at our three year and five year ability to deliver Alpha respectively 96% and 92% of AUM beat their benchmarks. These results are just as impressive for equities. When looking at investment performance over three years, 95% of Fiera's equity AUM has generated added value and over five years, that number is even higher at 98%. Through various economic cycles and economic shocks, our teams, our investment professionals remain fully dedicated and a 100% focused on the task at hand, efficiently allocating capital on behalf of our clients prudently and profitably. On Slide 15, I will review investment performance for select public market strategies, most of which generated alpha during the fourth quarter, as well as on a one year and three year basis. The access team generated 62 basis points of added return in Q4 and 13.9% since inception and is just a few weeks shy of reaching its five year historical track record milestone. The team has made study progress in a short period of time and we are confident it'll continue to benefit from significant organic growth over the course of 2022 and beyond. At present, the main client base of the access strategy are financial intermediaries, which can serve as a catalyst to penetrate the institutional and private wealth markets. This was not only the case in the fourth quarter as two UK wealth managers started funding mandates totalling more than $215 million US dollars. The StonePine global equity strategy realized an impressive 3.13% of added value in Q4 and over 5% on a one and three year horizon. I'm also pleased to share that just a few weeks ago, the sub advisory partnership with StonePine was formally established. We look forward to continuing to build on the solid mutually beneficial relationship that we have established with the team over the past 12 years. Our US mid growth strategy generated an absolute return of 6.78% during the fourth quarter, beating its benchmark by an almost equivalent amount. On a one year basis, the strategy has generated an absolute return of 18% adding a remarkable 13% over benchmark, standing comfortably in the first quartile of its universe. Finally in the UK, two funds generated exceptional investment performance in 2021. The emerging market -- the emerging and Frontier opportunities fund realized an absolute return of 43.8% and the Frontier Markets fund generated a 42.6% return during the year, adding value of 22.9% relative to its benchmark. These results significantly contributed to the outsized performance fees delivered by the public market investment platform in Q4 with these two funds alone generating over $33 million in performance fees. I will now turn it over to Lucas for a review of our financial performance.
Lucas Pontillo: Thank you Jean-Philippe and good morning, everyone. I'm on Slide 16. I'm pleased to report that total revenues of $241.9 million for Q4 2021 increased by $67.4 million or 39% when compared to the prior quarter for mainly by higher performance fees, which are traditionally higher in Q4. When compared to Q4 last year, total revenues increased by $73.3 million or 43.5% mainly driven by exceptional performance fees that were 2.6 times greater in Q4 2020 as just highlighted by Jean-Philippe. We have adjusted the graph presented on the next three slides to exclude contributions from previously announced dispositions, mainly Bel Air, Wilkinson Global Asset Management, Fiera Investments, and the revenue sharing arrangement with CNR in order to facilitate period over period comparison. For all of 2021, total revenues excluding dispositions of $731.1 million grew by $152.5 million when compared to 2020 adjusted total revenue. Looking at this by investment platform and turning to Slide 17, total revenues for private markets during the fourth quarter of 2021 were $66.5 million, an increase of $34.3 million compared to Q4 of last year or 106.5%. Base management fees of $34.3 million in Q4 2021 increased $10.3 million or 42.9% year over year driven primarily by favorable asset class mix and market appreciation across real estate infrastructure, private debts within the institutional and private wealth distribution channels. The platform generated $13.1 million in performances fees quarter a, $10.4 million increase compared to last year, driven mostly by our real estate platform in the UK. Similarly, the same platform also drove share earnings and joint ventures to $8.3 million in Q4 of '21, a $6.7 million increase compared to prior year, which stems from the timing of realizations of underlying joint venture projects. Finally, other revenues increased $6.8 million year over year reaching $10.8 million in Q4 2021 driven primarily by transaction and commitment fees. This type of revenue is unique to private markets and does not apply to our public markets investment platform. These fees represent revenues earned between the time that the capital is committed to a strategy and the time at which it is deployed and begins to generate base management fees. As we continue to grow our private markets platform, these fees become increasingly recurring in nature. Total private market revenues for 2021 were $175.2 million compared to $125 million in 2020, a $49.9 million increase or 40%. Turning to Slide 18 for review of public market revenues, total revenues in public markets reached $175.4 million during the fourth quarter, a $39 million increase or 28.6% compared to Q4 2020. Performance fees accounted for most of this increase rising from $20 million last year to $46 million in Q4 2021. The majority of the $26 million increase is in connection with the market and Frontier Markets equity and liquid alternative investment strategies in the UK, which all had a terrific year. Base management fees of $128.3 million in Q4 of 2021 increased $13.5 million year over year or 9.9% driven primarily by higher average AUM in large cap equity investment strategies. Within the institutional and financial intermediary channels, were partly offset by a decrease in US fixed income strategies, driven by unfavorable market returns and slight net outflows in the US private wealth space. Other revenues decreased by 400,000, mainly from foreign exchange losses on forward contract. Excluding dispositions, total public markets revenues, would've been $555.9 million for the year compared to $453.2 million in 2020 a $102.7 million increase or 22%. We are very pleased with our revenue results for the quarter and the year. They speak to the strong demand and investment performance of our competitive suite of investment strategies. Turning to Slide 19, excluding share based compensation. SG&A was $149.8 million for Q4 compared to $134.9 million in Q4 2020, an increase of $14.9 million or 11%. whereas total revenues increased by $46 million or 23.5% over the same period. The increase in SG&A was primarily driven by higher revenue related expenses associated with performance fees in the UK, which were partially offset by lower variable compensation expense as a result of dispositions. Excluding the impact of dispositions for Q4 2020 SG&A, less share based compensation, would've increased 26% year over year compared to 43% increase in total revenues over the same period. Share based compensation expense in Q4 of 2021 was $11.9 million an increase of $6.6 million compared to share based compensation of $5.3 million in Q4 last year. The increase was mainly driven by accelerate investing of $5.3 million as previously mentioned. Turning to slide 20, we recorded net earnings attributable to company shareholders of $35.7 million or $0.34 per share during the fourth of 2021, compared to a loss of $1 million in Q4 of last year. Adjusted net earnings during the current quarter was a solid $68.5 million compared to $49.2 million a year ago period, an increase of 39.2%. The difference between net earnings and adjusted net earnings is explained largely by amortization and depreciation expense of $13.5 million $11.9 million of share based compensation expense for the quarter of which again $5.3 million is related to accelerated investing and $6.5 million in restructuring acquisition and other costs mainly because of severance and restructuring activities. I am now on Slide 21, we generated strong adjusted EBITDA of $92.1 million in the current quarter compared to $61 million in Q4 of last year, an increase of over $31 million or 51%. With regards to the adjusted EBITDA margin, we are very pleased with the 38.1% margin realized in Q4 of this year, which reflects stronger performance fees earned during the quarter. While we are happy about these results, which reflect the strong performance of our teams, we want to highlight the exceptional performance that the UK investment team delivered in 2021. This quarter's results also contribute to driving the full year 2021 adjusted EBITDA to $247.7 million, an increase of $38 million compared to 2020 or 18.1%. Accordingly the corresponding full year margin for the year is 33%, a solid 2.8% increase higher than 2020. Now on Slide 22, our financial leverage ratios showed continue improvement once again this quarter. Having lowered net debt by $62.2 million over the course of the fourth quarter, we approved on all associated leverage metrics accordingly. Net debt, which includes our convertible and hybrid instruments and excludes cash, now sits at $501.1 million as at December 31, which is down $127.9 million for 20.3% over the last five quarters. Likewise, our funded debt as calculated for a credit facility stood at $424.1 million at the end of the year, a decrease of $81.4 million compared to five quarters ago. Our funded debt to EBITDA ratio was 2.04 times as of December 31, 2021, down 22% over the course of the year and at its lowest level in more than six years. This is the fourth consecutive quarter where this ratio has remained below the 2.5 mark and consequently well below the covenant of 3.5 times. At 2.04 times, this is even lower than it was prior to completing six acquisitions over the course of 2018 and 2019 and despite setbacks from the pandemic in early 2020. Furthermore, our interest coverage is also strong at above seven times when our covenant of limit of 3.5 times. Visibly the consistency with which we have been reducing our debt levels and simultaneously improving our operating results demonstrates our focus on efficiently allocating capital and managing our balance sheet. On to Slide 23, in addition to reducing our financial leverage, delivering value to shareholders through optimized capital allocation remains an ongoing priority for Fiera Capital. Following the renewal of our NCIB in August of this year, we purchased and canceled over 1 million Class A shares during the last five months of the year, for total consideration of $10.7 million. For almost 2021, when including shares repurchased under the original renewed NCIB, we bought back over 1.6 million shares for $17.9 million. Note that an early '22, we also purchased an additional 3.6 million shares for cancellation in connection with an transaction [ph] thereby committing to returning value to shareholders. Moving on to our dividend, our shareholders continue to benefit from a high dividend yield. As of the market close on December 31, Fiera shares yielding a dividend of 8.1% compared very favorably to the yield on the S&P/TSX Canadian Dividend Aristocrats Index of 3.9%. Accordingly, we paid out $87.7 million to shareholders in the form of dividends during the year between the NCIB and the dividend this brings total value paid to shareholders to $105.6 million in 2021. On that note, I'm pleased to announce that the board is approved a dividend of $0.215 payable in April 2022. Finally, our dividend reinvestment plan remains in place. This program is entirely for the benefit of shareholders, offering them a convenient way to reinvest cash dividends into Class A share, given the NCIB also in place, but are currently buying shares on the market to satisfy the grip and are not issuing them from treasury. On to the Slide 24, adjusted EPS has grown steadily over the course of the last two years. Adjusted EPS of $1.78 in 2021 was $0.38 higher or 27% when compared 2020. What's more, although Fiera Capital shares offer a strong dividend yield, the ratio of dividends paid per share to adjusted EPS have fallen from 60% last year to 47% in 2021 or said differently, adjusted EPS is over two times our dividend amount. No better adjusted earnings per share has grown at account at an annual growth rate of 8% over the course of the last five years, while the corresponding cater for dividends paid is 3.8%, which further reaffirms the sustained improvement in our financial strength over the past few years. I will now turn the call back to Jean-Philippe for closing remarks.
Jean-Philippe Lemay: Thank you, Lucas. Turning to slide 25. We are very pleased with this quarter's and this year's results, which reflect the execution of our strategic priorities over the last few years, streamlining and scaling our operations, expanding our offering of private markets, investment strategies and improving our distribution capabilities all the while remaining unwavering in our commitment to investment excellence. Going forward, we aim to continue to allocate capital efficiently by harnessing the intellectual capital of our diverse and inclusive team to continue obstructing optimized portfolios to deliver on client objectives and delivering on the specific risk return outcomes seeked by our clients. To offer innovative investment strategies, design strategies as building blocks that are complementary to one another and to contribute to socially responsible outcomes. And lastly, we remain committed to delivering value for our shareholders. We will also continue to evolve our distribution capabilities and ensure that we are viewed by our clients as a top solutions provider, both globally and across asset classes, underpinned by leading edge research innovation in client centricity. For institutional investors, we want to continue to be a global counselor to meet their long term investment objectives. In the financial intermediary channel, we want to keep being the partner of choice for alpha generating solutions that contribute to long term sustainable prosperity. Finally, in the private world space, we will continue to offer institutional grade investment advice and capabilities to our high net worth clients. We believe that in doing the above, we will be able to drive the necessary organic revenue growth that will allow us to generate long term value for our shareholders. This concludes our prepared remarks. I will now turn the call back to the operator.
Operator: [Operator instructions] Your first question comes from Nik Priebe with CIBC Capital Markets. Please go ahead.
Nik Priebe: Hi, good morning. Wanted to start with a question on performance fees in the quarter particularly strong in Q4 relative to the past couple of years and you gave a bit of a good breakdown there on how the private and public strategies contributed. Can you give us a little bit more color on how the performance fee structure looks across the strategies that were larger contributors in Q4? Like would it be based on absolute or relative returns? I'm just thinking about how to frame our expectations for in 2022 and beyond.
Jean-Philippe Lemay: Sure. maybe I can give you some color Nic, so the main contributor of performance fees this quarter was related to our long only frontier market strategy and long short front Frontier Market Opportunities Fund managed out of London. So in terms of AUM, it's about two third, one third in terms of exposure from the long only, and the long short, and on the long -- on the long side the performance fee structure is directly a percentage sharing of the value added above the benchmark and on the long short is really a performance sharing above zero benchmark. So just to directly added value straight from a zero base. So that's the breakdown for this quarter and this year in that strategy and overall, I would say that the long only exposure that we have on performance fees is typically structured that way, albeit very limited in terms of AUM across our public market strategies and in our liquid alternatives, it's really typically either a benchmark of zero or a short term interest rate benchmark on which we apply our performance fee sharing.
Nik Priebe: Understood. Okay. That's helpful. And I know that performance fees are typically crystallized on December 31. Just wondering because of the outsized performance fees this year, when would they typically be collected in cash? Like, would that be reflected on the balance sheet subsequent to December 31?
Lucas Pontillo: Correct. So that would be in the first quarter.
Nik Priebe: Okay. Okay. Very good and then just last question for me was wondering if I could ask you to talk a little bit more about the Fiera Atlas team, the press release suggested that investment performance numbers look really exceptional. Just wondering if you could talk a little bit about, the RFI, the RFP activity there, how you plan to scale that strategy, does it become capacity constrained at some level of AUM? What type of margins you'd expect, just any additional color on that would be helpful?
Jean-Philippe Lemay: Sure. So we're doing this rollout in a very organized and step by step approach from a distribution rollout standpoint. Our low hanging fruits are in the market. They have been more present in the short term. In the past I mean, so Europe and Australia are two key markets where we are focusing our efforts. And I would say in the intermediary channel is the lowering fruit in those regions and also leveraging our, our partnership of distribution in Australia with Iron [ph]. On the other end, we have also hired a specialized distribution resources capability specialists in the US where we're going to go and roll out the strategy through the consulting network and also institutional clients directly in the US and same strategy for Canada with dedicated resources of capability specialists for the strategy as well in the North America. So in terms of our plan in our, in our go-to-market with that particular strategy, it's -- it's well thought through, and, now already on execution. In terms of latest flows, I mean, we've seen positive activity already at the beginning of the year with traction strategy as well. And in terms of your question around capacity we're now running and the team's now running close to CAD1.5 billion. There is no -- well, there's a specific target, which is probably around $20 billion of or, or that level in a very long-term perspective, but we don't we don't see any particular capacity of the issues over the next quarter; if it would be a good problem to have, if we hit that number in a very short order.
Operator: Thank you. Your next question comes from Geff Kwan with RBC Capital Markets. Please go ahead.
Geoffrey Kwan: Hi, good morning. I appreciate the, your comments around the revenue pick from the in-flows would more than offset the fee loss from the up-flows. And you also had referenced client rebalancing, but just wondering what your, your bigger picture thoughts as to why the net sales performance has been, maybe I guess in inconsistent over the past year or so. And, and when do you see maybe being able to deliver more consistent net sales on a quarterly basis?
Jean-Philippe Lemay: Thank you, Jeff. I think the main story in 2021, with respect to net organic revenue, or let's say  the negative side of the reg -- the, the revenue organic revenue impact for the year is really driven by this -- the, the market returns over the year. Equity markets have been very, very strong and on top of that, we've delivered a positive value add. So when you have that, and you have a, a strong institutional presence, you will typically see rebalancing, so when I look at the different components of it the net contribution like of our equity platform is by a large -- by a large amount dependent and explained by that context. So a bit counterintuitive, but you would typically see a negative correlation between the strongness of the markets and alpha and the net contributions. We've seen a few a few mandate losses in Q4 in global equity. In fact, out of the, the many, many clients we have for a stone pine sub-advised strategy, there's only one client that's following the announcement decided to reallocate the -- to reallocate money. So that's a very good outcome from our perspective in terms of navigating the change and for the rest, it was, it was very positive. So I think these are the two main factors, in terms of your question about our outlook for delivering net organic revenue growth. This is a key a key target and a key metric that all our organization is focused on. We strongly believe that we have all the pillars in our platform to be able to deliver that. And we're -- we're finalizing and, and being ready to be fully operational as well in our other regions, from a distribution organization standpoint. You so, we, we have a strong perspective and outlook on our ability to, to deliver positive, positive number on that front. And maybe just for color, if I look at the Canadian performance in 2021 on the revenue or net organic revenue growth standpoint it was, it was materially positive, both on the net, a growth side. If I look at the only the Caden region, but that's also in relation to the fact that our distribution organization and the evolution of that organization has been mature for 2021 full year. So we expect as we continue to, to roll out and, and mature and have our organizations on this distribution side, as, as strongly organize as we have Canada in the coming months and quarter it will, it will drive drive positive results there.
Geoffrey Kwan: Okay. I was wondering if there's any and I, and I get there's maybe indirect, but any sort of direct AUM exposures, whether or not it's private market investments that you have security zoned or anything else like that that might be impacted by the situation in Ukraine and Russia?
Jean-Philippe Lemay: So good question, Jeff. So in terms of direct exposure to Russia, we have one strategy, which is a specialized strategy that is a Eastern European strategy where about 40%, 45% of our portfolio is invested in the diversified positions in Russia. It's about 100 million, 150 million of AUM. This is the only strategy with a benchmark long, only that we have a material exposure in the country. So wouldn't expect this this this part of our business to be to be under pressure, but if ever, we would see we would see outflows in that strategy because it's an intermediary mandate. The, the aptitude or the amount is relatively small in the overall scheme of our, of our organization. And more specifically direct exposure to Ukraine. We don't have across all our, all our portfolios and more broadly obviously the macro context will obviously be impacted by the current situation. So fears of exist exacerbation of inflation through energy prices and potential pressure as well on the overall guidance of, the macro and policy rate direction might have an impact moralistically, but we feel that our platform in general, given our exposure to private market assets and, and style exposure as well, overall, we feel that the indirect exposure is well under control.
Geoffrey Kwan: Okay. And just my last question was given the high degree of of performance you had in the quarter, is there like a specific compensation ratio or, I mean, ballpark is the conference show might change with such that allow us to kind of say back-out and measure the adjusted EBITDA excluding performance fees.
Lucas Pontillo: Sure. I would say
Jean-Philippe Lemay: Lucas, you can give a, yeah. Okay, go ahead, Lucas.
Lucas Pontillo: Yeah, I would say for just combined for the quarter on a, on an average basis, it's about 60% that's, that's falling to the bottom line.
Geoffrey Kwan: Okay. So 40% [indiscernible] show, I mean, appreciate may not necessarily be the same quarter to quarter, but okay.
Lucas Pontillo: And, and on the strategy. So that's, that's just a blend rate for, for all the, these,
Geoffrey Kwan: And, and would you think, like, depending on the mix and, and obviously you can come from different areas, but would 40% be a reasonable Testament to try and at least try and into what, what the adjusted EBITDA margin would be X-performance fees?
Lucas Pontillo: Yeah, I'd say depending on it, it it's reasonable, but, but there is a range. I mean, the range will go anywhere from 40% to 60%, so depending.
Jean-Philippe Lemay: Okay. Direction, direct -- direction, the more the performance fees will come from private markets. It will, it'll increase the amount that flows through the bottom line and the more it's driven by public it'll be on the, maybe lower than the average.
Geoffrey Kwan: Got it. Thank you.
Operator: Thank you. Your next question comes from Gary Ho with Desjardins, please go ahead
Gary Ho: Thanks and good morning. Maybe follow on and just question and on net-flows there, you mentioned kind of one client reality out of the stone pine arrangement. Can you comment on, on why, and are there others contemplating this to your knowledge and maybe comment on kind of near term pipeline that being in the first half, first half of this year?
Jean-Philippe Lemay: So the without giving specific details, Gary, on the on the specific client that left, it's really an inducing credit situation. And I think that given the amount of, of relationship that we have it's really it's really an outlier. In terms of the ongoing relationship, I mean it's, it's going very well. There's strong support on the, on the client side there might be down the road in a few quarters, some additional movements but we don't expect this to be material in the short term. And with respect to guidance on flows and our pipeline, I mean, you're to date our, out-flows are positive year to date without giving specific numbers. But like I mentioned following Jeff's question our organization is, is, is truly focused and, and dedicated to retention and growth across our regions and channels. So that's really we we're expecting to be able to perform on that front
Gary Ho: And any comments kind of where AUM kind of stands today, just given the volatile markets that we've seen so far?
Jean-Philippe Lemay: Yeah, so obviously we've experienced a bit of a setback back in AUM. And so it's around, I don't know if I can give color, but it's, it's around, it's around 4% overall AUM for the month of January
Gary Ho: 4% decline per month. Okay.
Jean-Philippe Lemay: Yeah, yeah.
Gary Ho: Great. my next question Lucas you separate out the revenue by public markets and profit markets. So thanks for, thanks for presenting that, is there by any chance that you can do the same exercise down to EBITDA and if so, how it look like? I think it's pretty intriguing that your private alt segment represents less than 10% of your AUM, but 23% of your top line revenue. Just wondering if you've done that exercise and, or any color that you can provide?
Lucas Pontillo: Yeah. And, and unfortunately not, I mean, at the end of the day, it is, it is one business unit and one business segment, which is asset management. So again, we obviously track the AUM and, and revenue contributions but consistent with our global operating model that we've been putting in place. So over the last two years, there's a fair bit of amount of centralized and, and shared services that we're putting in place to effectively be sufficiency. So unfortunately that's not going to be something we'll, we'll be able to disclose going forward.
Gary Ho: Okay. And then, while I have, have you Lucas, just on the share based comp adjustment that came through that will come through in ‘22, I think on the last call you told us to check back in with you just given the year end numbers where that shakes out. Are you able to share kind of how we should think about that? Looking out, I think you mentioned kind of $5 million, $7 million like how, how should we adjust for that? EBITDA adjustment for '22?
Lucas Pontillo: At this point, I think the comment I would make is if you look at sort of, what's been accelerated over the last two quarters, you're looking at about $12 million acceleration. And so those plans now by virtue of the fact that we've we concluded the transaction relative to those plans in January, there will be sort of an additional amount coming through in the first half of 2022. And at this point that that historical runway, there's actually a pretty good mirror of what, what to expect going forward And again, just putting it into context that acceleration is sort of the average of three years-worth of plans. And now you're, you are going to come into a period where you effectively have to accelerate one remaining new plan. And, and just by virtue of where, where the AUM and the performance of the fund is. I think those last two quarters are actually a pretty good indication of what to expect in Q1 and Q2 of next year.
Gary Ho: So, sorry that I guess five, that $12 million that's I guess $6 million per quarter is how should I, I should think about it as opposed to $12 million representing full year,
Lucas Pontillo: Correct. It's, it's going to depend on timing of a few things, but you should expect that over the next two quarters as well. So there again, there might be some unbalancing between one quarter and next, but in aggregate, the overall amount is a good indication.
Gary Ho: And how, how long does that last Lucas,
Lucas Pontillo: That that'll be the last one, so this will be the last one to wrap up the entire program. So…
Gary Ho: You, I know, but then that last for one year, the $6 million per quarter will last
Lucas Pontillo: For year. No, no. So it'll be over the first two quarters and then that'll be the end of it.
Operator: Thank you. Your next question comes from Graham Ryding with TD Securities. Please go ahead.
Graham Ryding: Hi, good morning. Hi, First of all, lots of new additions to your disclosure. That's appreciated. Thank you for the increased visibility. My question is really just on the, the fund performance particular on the public fixed income and equity side, it's quite impressive. Relative to your benchmarks, do you, would you be able to give us a, some sort of figure or, or color on like what that aggregate quartile ranking would look like for your public AUM? Is that, does that equate to sort of top one, top two quartile rankings on aggregate?
Jean-Philippe Lema: Yes. Thank you, Graham for the overall equities in general when you look at it from a three, four year perspective on the equity side, large gap most of it is first quartile. Okay. When you go into the fixed income strategies I would say it's above median over that same timeframe three, four years it's between first and second quartile across the different independent, active strategies. So that's so yeah, the, the percentage is quite high from a benchmark meeting standpoint, but the peer, the peer comparison is also over the long term pretty, pretty strong.
Graham Ryding: Okay, understood. And then Lucas, just for you, like there, it looks like you've got a pretty strong cash balance here. Are there any sort of puts and take to think about in, in Q1 when you sort of pay out performance fees or sort of compensation related performances to think about, and then just broadly what are you thinking with capital allocation here? Are you investing for growth, paying down further debt or considering buybacks? Like how should we think about your options?
Lucas Pontillo: Yeah. And thanks for that. I, I think the, sort of the most material amount, which, which is already public out there was the additional share buyback that we did in January as part of the Natixis transaction. So again, you, you can appreciate that for the almost 3.6 million shares that that we bought back there. It was a fair bit of a, of capital redeployment. So, I think that's, that's probably the most material thing to focus on for Q1 in terms of how that cash was reallocated.
Graham Ryding: Okay, understood. And then my last question, just you've delivered now a pretty strong 33% EBITDA margin for 2021. But clearly performance fees that were, were a factor there, would you be able to give us a, a target of what you think you could achieve in 2022? Is this a repeatable number, or is this outsized because it's such a, a strong performance fee this quarter?
Lucas Pontillo: Well, I mean, I think it is fair to say it's, it's outsized because of the strong performance fees this quarter. that being said, we are committed to improving, operating leverage and, and moving forward we watching the first quarter cautiously you knows it's been a rough start to the year market wise, so we'll see what kind of impact that has. And, and also just want to highlight that traditionally Q1 is, is a lower margin quarter for us by virtue of the fact that a lot of the expense benefits go through in the first quarter. So just things to keep in mind as we head into Q one both the backdrop of, of the volatility in the markets, as well as I say already, it's, it's a quarter where we traditionally have higher headwinds on the margin,
Graham Ryding: Okay, great. That's it for me. Thank you.
Operator: Thank you. Your next question comes from Jaeme Gloyn - National Bank. Please. Go ahead.
Jaeme Gloyn: Yeah, thanks. Just couple of clarification questions to start first on the performance compensation. I heard the 40% number. I just wanted to clarify that was strictly for Q4 that you were disclosing that number as it relates to the, the amount that's tied to performance cost.
Lucas Pontillo: Correct.
Jaeme Gloyn: Okay, great. And then as I as I think about the share count this quarter pretty significant dilution in this quarter, and we've seen a kind of bounce around a little bit. So how should we thinking about shared dilution shared going?
Lucas Pontillo: Yeah, we were we were diluted by just over 1 million shares in the quarter year ended, but again, keeping in mind the, the buyback that we did early on in Q1 2022 which took that share count down by, as I say, almost another $3.6 million. So already into the first quarter we are, we are creative in that regard relative to that buyback, there'll be a few issuances as well made during the quarter in terms of share based compensation. But right now the expectation is that by the end of the quarter, that share account will actually be down from what was at year end.
Jaeme Gloyn: Yeah. So, sorry. I was thinking about the effect of dilutive share based awards, contingent consideration, convertible debt that going from basic to diluted weighted average shares a pretty big step up?
Lucas Pontillo: Yeah. So part, part of that, what happens is James, when we've been in part of that's just accounting convention. So in quarters where we've had an accounting loss instruments actually don't make it into the dilution count because if, if you've got a negative EPS, the dilution then only serves to actually lower the EPS amount. So the or actually increase the EPS amount in that regard. So by virtue of the fact those, those instruments get excluded and now because of the fact that we're in such positive earnings territory, you're seeing a lot more of those instruments effectively come into the calculation. So particularly the hybrid got included in the dilution calculation this quarter. But convertible debt did not. So there there's really, there hasn't been any change or big material change in the underlying it's just the convention in the accounting force.
Jaeme Gloyn: Right. Understood. And so this would be a more representative level of dilution effects as opposed to some of the other quarters we saw on 21,
Lucas Pontillo: If, if you were to assume that those instruments were to be settled in shares, which…
Jaeme Gloyn: Right, right. Fair enough. Okay. Sorry. I did have one more clarification question. It was just on the the share based comp from Gary's question. So I understand there's, there's still another 6 million shares that would be tied to the stone pint that that's going to hit in Q one, one or Q2, but the base run rate is still around that five or 6 million in share base compensation is per quarter. Is that, did I understand that correctly?
Lucas Pontillo: Yeah, that's okay. As I say the calculations, but it's a fair range.
Jaeme Gloyn: Yeah. Got it. Okay. Last one. And I apologize if I, if I missed this just on the the earnings from JB associates obviously a big step up, but how, how should we be thinking about that number maybe not on a quarterly basis, but on an annual basis in 2022, is it as, as funds are coming in and committed or is it a is it like a marked to market type thing going on in the, in the UK, a real estate? How should we think about that that revenue line item on an annual basis perhaps as we move forward in '22 and then even '23.
Lucas Pontillo: So maybe I can
Jean-Philippe Lemay: Maybe Lucas, maybe I can give maybe just a, a comment structurally here for you James, and and maybe Lucas, you can comment on, on expected amplitude. When we, when we are speaking about the share of [indiscernible] in terms of revenue item it's really related to minority ownership we have in real estate development platforms in, in the UK where the revenues that are following through this this revenue line item are really related to crystallization of profits that the development platforms are actually executing on. So it's really transactional, dependent speed of of going through the development projects and so on. And it's, it's not really related directly. I would say there's a link, but it's not directly related to the dynamic of our private markets business in the sense of committed un-deployed and deploying into our private funds, just wanted to clarify that, distinction here.
Lucas Pontillo: Yeah. And, and add to that I have made the comment in the past that, and unfortunately is a lumpy line item for us. while there is a pipeline of projects in what they deem sort of opportunistic development the development in that pipeline could be, as long as two years between a time of project comes online and the time it gets it gets released. So as I say, we, we have some the in terms of when projects come on a little harder to gauge though, when they'll come due.
Jaeme Gloyn: Right. Fair enough. Okay. Thanks very much.
Jean-Philippe Lemay: Thank you.
Operator: Thank you there are no further questions at this time. Marie I turned the call back over to you.
Marie-France Guay: Thank you, operators. That concludes today's call. Thank you for joining us. Matthew,
Operator: Ladies and gentlemen. This concludes your for today. We thank you for participating and ask you, please disconnect.